Operator: Ladies and gentlemen, thank you all for standing by, and welcome to today's OCI N.V. Third Quarter 2018 Results Conference Call. [Operator Instructions] I must advise you this conference is being recorded today, November 16, 2018. I would now like to hand the conference over to your speaker for today, Director of Investor Relations, Hans Zayed. Please go ahead.
Hans Zayed: Good afternoon and good morning to our audience in the U.S. Thank you for joining us on the OCI N.V. third quarter 2018 results conference call. You can find all the details of our results in our press release and financial statements, which we posted on our website this morning. With me today are Nassef Sawiris, our Chief Executive Officer; and Hassan Badrawi, our Group Chief Financial Officer. On this call, we will review OCI’s key operational events and financial highlights for the third quarter of 2018 followed by a discussion of OCI’s outlook. As usual, at the end of the call, we will host a question-and-answer session. As a reminder, statements made of today's call contain forward-looking information. These statements are based on certain assumptions and involve certain risks and uncertainties. And therefore, I'd like to refer you to our disclaimers about forward-looking statements. Now, let me introduce our Group Chief Financial Officer, Hassan Badrawi.
Hassan Badrawi: Thank you, Hans, and thank you all for joining us. I will start with a brief summary of the results we published this morning, and then hand over the floor to our Chief Executive Officer, Nassef Sawiris. Briefly, we reported a 16% increase in self-produced volumes, which reached 2.3 million tons during the quarter. This includes our 50% share in volumes from Natgasoline. We achieved this increase despite a number of opportunistic maintenance work in the IFCo and some maintenance work in Europe. Our realized selling prices enjoyed positive momentum and improved the across the Board compared to Q3 2017. Because of the higher volumes and higher selling prices, third quarter revenue increased by 33% to the reported $774 million. Our adjusted EBITDA increased by 35% to $230 million, which again also include our 50% share in Natgasoline. Our methanol commercial team has been affected in managing the distribution of our 50% share in Natgasoline 's production as the plant successfully ramped up ahead of schedule. On our primary measure of operational growth, we generated free cash flow of $69 million before growth CapEx during the quarter. This takes the total free cash flow year-to-date to $360 million compared to a much lower number in the same period last year around $70 million, which was CapEx heavier. I would like to highlight a few items on our free cash flow. Firstly, there was some constitution of CapEx in the quarter. We had around $57 million of maintenance CapEx recorded during the quarter. We also had some growth CapEx which for the continued refurbishment of BioMCN’s second line and the installation of a new DEF tank at IFCo. Our total CapEx was around $95 million during the quarter. We have not planned any turnarounds during the fourth quarter and we expect total CapEx to be in line with our guidance for the full year of around $300 million. Secondly, we paid most of our annual taxes that was due, a total of $32 million during the third quarter as well. We expect some additional cash tax payments by year-end of $2 million to $4 million which would take the total for the year to a maximum of $37 million - $36 million. Finally, we also have a first time working capital introduced reflecting two new distribution operations our OCI methanol marketing distribution arm and our N-7 which is the JV with our joint venture partner, the Kuda Gasification Company, also capturing the ramp up in our methanol distribution of Natgasoline. Turning to our balance sheet now, our net debt moved up around $80 million to $4.4 billion as of 30 of September 2018, but this was driven by $120 million of expenditure to buy out minority partners in OCIP in July. However, we continue the trend of a significant improvement in our leverage ratios. Our trending net debt to adjusted EBITDA stood at 5.5 times at the end of September down from 7 times at the end of 2017 and on track to reach we are guiding for a range of 4 times to 4.4 times by year end. We have continued our drive to optimize our balance sheets and costs of debt. Earlier this week, we closed another successful placement of $900 million at Natgasoline including a $565 million term loan B facility and $36 million of bonds in the U.S. Texas debt markets. The proceeds have been used for the refinance of existing debt of $252 million of taxes and bonds also remaining cash to shareholders. The new debt was also around 250 bps lower with the average costs of debt of the financing replaced and with this initiative, we have completed our target of refinancing plan for 2018. Overall, we remain committed to our financial policy with a focus on deleveraging and achieving an investment grade profile as soon as possible which we believe can be accelerated given the appropriate market conditions and as we continue to benefit from the full ramp-up of our growth initiatives. I would like now to hand over to Nassef Sawiris, our Chief Executive Officer, for further commentary on the results.
Nassef Sawiris: Thank you, Hassan. Let me first give an update on recent developments followed by the outlook for the fourth quarter and 2019. I'm pleased how our business is developing this year especially in the past few months. We were disciplined and stuck to our commercial strategy of limiting forward sales during the low month and the beginning of the summer. As a result, we have entered the fourth quarter with an excellent inventory position and forward book. We can capitalize on the higher pricing environment that materialized in September and October and expect these revenues to filter through in the fourth quarter results. This strategy has helped us both in the U.S. and in Europe. For example, U.S. Midwest UAN prices are up almost 50% since the beginning of July and CAN prices in Europe are up almost 30% from that. Going forward, we will continue to limit forward sales to a maximum of six to eight weeks. We also expect a step-up in volumes this quarter, and I would like to highlight both our methanol and fertilizer operations in the U.S. Our methanol business received a major boost from the introduction of Natgasoline which started up at the end of June and has achieved much better production rate than anticipated so far. In the recent weeks, performance of the plant has been even better, running effectively and efficiently at 104% utilization. Since the start of Natgasoline, it has produced to-date over half a million tons of methanol. IFCo is also looking very positive. In July, we took a shutdown opportunistically to optimize production, which made it possible to postpone a turnaround that was initially planned for October 2019. Since the work was done, the plant has been running consistently at rates above nameplate. The plant stepped up production even more in October when we received the permit to increase allowable ammonia production from 110% to 118% of nameplate capacity. As a result, our operation team has done a great job in bringing the production rates of the ammonia plant to almost 115% in the past four weeks and the urea plant to 117%. Our DEF business and IFCo keeps growing at rates in the double digits from quarter-to-quarter, benefiting from a market that is growing in excess of 15% per year in North America. We have facilitated further strong growth and improved reliability of supply with some small investments in logistics, adding new railcars and a newly-constructed storage tank during this quarter. We are planning on doubling our current run rate of DEF during the course of 2019. So, volumes for DEF for 2019 will be effectively double those of 2018. Now, turning to the outlook. First, for our end markets. We expect that we can maximize the benefits of an unexpected continued recovery in our end markets. Firstly, nitrogen markets are benefitting from tight supply despite some suggestion this week following the India tender that this was a different case. Not much spare capacity is currently available and very few new capacities are coming into the market over the next three or four years. These additions are further offset by expected plant closures and very low exports from China. Secondly, inventory levels across the system are very low and well below the levels at the same time a year ago, in particular in major importing countries such as India and Brazil and even in Europe. And the demand outlook is favorable with an expected additional boost next year from an increase in corn acreage of potentially 4 million acres in the United States. That should provide an added boost that is not factored in. Before I go to methanol, the Iran issue will currently does not reflect in our outlook. The balances for both nitrogen fertilizer, as well as for methanol do not reflect any change in Iran production or exports as a result of the recently imposed sanctions by the U.S. With at least 4 million tons each - for each product, 4 million tons of urea and approximately 4 million tons of methanol, Iran is one of the largest exporters for both of these products globally. To date, selling price reflects full export capabilities out of Iran. So until now, Iran has not reduced exports for either product, but this may change in the coming months and after the six months waiver on oil is reviewed. On methanol, in general, there are very few capacity additions coming in the next few years. And fundamentals remain robust even if there is some short-term volatility as a result of the fast drop in oil prices. And then I look at the shorter term outlook for our business. We expect to end the year on a strong note and expect higher EBITDA and free cash flow in the fourth quarter compared to both the third quarter of 2018 and the fourth quarter of 2017. Our commercial strategy is paying off. Our sales volumes are going up. We've enjoyed a first full quarter of Natgasoline, and we have no major turnaround scheduled for the remainder of the year. Our cost position is also favorable with a low blended average natural gas cost. We have a mix of long-term contracts with fixed gas prices in Egypt and Algeria, attractive pricing, and spot prices in Europe and the Unites States. For our spot prices in the U.S. plants, we have hedged, primarily via collars, for more than 50% of our natural gas requirement to offset the risk of potential increases in natural gas prices over the period between now and 2021. The collars have a bandwidth of $2.45 per mmBtu as a floor on average and $3.50 on the high side. In addition to those commitments, we selectively do forward fixed price purchases within that bandwidth. For example, we have hedged for approximately 70% of our natural gas requirements over the next 12 months in the U.S. Specifically, we are pleased that IFCo has over 70% of its requirements hedged via fixed price purchases at a price of around $2.40 per mmBtu. As a result of our favorable outlook, we are on track to reach a leverage metric between 4 and 4.4 net debt to adjusted EBITDA by year-end, and expect to approach about 2.5 times net debt to EBITDA towards the end of 2019. At that point, we'll start the process of returning cash to shareholders in a combination of dividends and share buybacks. With that, we will open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of [Roger Spitz]. Please ask your question.
Unidentified Analyst: I had a few questions on the Natgasoline accounting. First, am I correct that Natgasoline equity pickup is included on your balance sheet under the line item income from equity accounting investees net of tax?
Nassef Sawiris: Hassan, do you want to answer that?
Hassan Badrawi : On an accounting basis, Natgasoline will be accounted for using equity accounting. That's correct. But in our adjusted results, we’re going to be reflecting our 50% share on the adjusted EBITDA going forward.
Unidentified Analyst: I understand that, I was coming to that. But this quarter, you have equity income of minus - of negative 3. That presumably includes the Natgasoline equity income pick up, is that correct?
Hassan Badrawi : That is correct.
Unidentified Analyst: And then in your segment, you have Natgasoline equity income pickup is included in it. Is it included in the IFCo in the segmentation?
Hassan Badrawi : No. It’s not included in the IFCo, but we can get if you - we can definitely send you - if you can send us those question, definitely on the accounting side, we can walk you through all the addition, new accounting that they’re reflecting the new businesses coming into this.
Unidentified Analyst: Let me ask you one more broad question about it. You're including in your EBITDA the 17.7 of Natgasoline EBITDA benefit which is fine, but you're not including - which is your share of the. EBITDA of Natgasoline, but you're not including your share of Natgasoline’s debt. Is that correct? So you’re getting the EBITDA benefit, but you're not showing your share of the debt.
Hassan Badrawi : Yes. In our leverage calculation that we’re talking about here was not reflecting our share of debt. Mind you that our N.V. debt on the HoldCo has about has about $600 million of financing that is attributable to our investment in Natgasoline.
Nassef Sawiris: On the same token, this is offset by the - including the full share of the debt of other subsidiaries that have significant minorities. For example, close to $700 million of Sorfert debt includes the portion of the debt that is attributable to our partner in Sonatrach. So if you adjust for that portion of the minority of Sorfert, as well as that portion of the minority on EBIC, it becomes almost awash.
Operator: Your next question comes from the line of Christian Faitz. Please ask your question.
Christian Faitz: Two questions if I may. First of all, can you talk a bit about current demand trends particularly in Europe? My understanding is that the winter seeded crops have massive drought related problems which also would suggest that fertilizer application will be minimal in Q4. Can you confirm that from what you hear from your sales force? And then second question just quickly, when in 2019 do you plan to conduct the turnaround in IFCo?
Nassef Sawiris: Excuse me. To announce what?
Christian Faitz: The IFCo turnaround. When about 2019?
Nassef Sawiris: Okay. So, on the first question I can tell you that we do not see that in the demand in Europe. On the CAN side, we are practically sold out in line with our strategy for the six to eight weeks forward. So we are sold out till year end at current pricing of reflecting higher than €2.35 netback on CAN. However, there were disruptions in sending the product out as a result of the lower river which affected to some extent our September volumes and September sales outlook UAN out of Europe. But those have started to pick up in recent days and volumes are going out. There is still a lot of demand. We see a lot of demand for January and February in Europe at current prices. And our report from our distribution channels that warehouses on both CAN and Europe are significantly lower inventories than last year. So that is how we see things on the European supply. The turnaround in EFCO, we will obviously try to time it with the loss part of the season around summer.
Operator: Your next question comes from the line of Frank Claassen. Please ask your question.
Frank Claassen: Frank Banque, Degroof Petercam. Two questions, one on Sorfert, can you update us on whether there's any insurance payments into Q3 and whether you expect any in the future and maybe also some comments on the size of the insurance payments. And then secondly on Natgasoline, now that you've finished the refinancing is there some upstreaming expected in the short term and then when do you expect dividend payments or how does the upstreaming in the future will look like. Thank you.
Nassef Sawiris: Hassan will jump on both questions even though I know the answers.
Hassan Badrawi : Regarding your first question on Sorfert, as you recall, we did recall earlier in the year $20 million down payment on the insurance claim for the shutdown that we experienced in 2017 that we have progressed the claim during the year. We believe we are now in the final stages of finalizing discussions with the insurance company. The most likely, the remainder of the cash that will be received in the - for the balance of the claim will occur - is expected to occur during the first quarter of 2019. And we have not yet disclosed the amount, but we believe we’re going to be within the guidance that we issued earlier to the market which subjects - because we received - if we factor out the gas, the force majeure on the gas which we were successful in securing, then the balance of the claims should be somewhere in the neighborhood between $45 million and $65 million. On the upstreaming for Natgasoline, with the successful conclusion of the refinancing of Natgasoline last week, we will be - we believe we're going to be unlocking cash in various forms whether its repayment of existing shareholder loans or other working capital that the company provided during the start-up phase, that will unlock anywhere between $100 million to $200 over the next several months.
Operator: Your next question comes from the line of Tom Wrigglesworth. Please ask your question.
Tom Wrigglesworth: Three questions, if I may. Firstly, Mr. Sawiris, I'm hoping that you might be able to share what you think - I know you said you haven't included any shortfall from Iran in your balance assumptions. But is there - could you give us some sense of how much of Iranian exports might be at risk and what will it be going into 2019? Secondly, you obviously expressed confidence about the performance in the fourth quarter, as in the full-year estimates on Bloomberg $1.09 billion of EBITDA. Does that confidence - could you that consensus is in the right ballpark? If you could help us quantify that confidence you have on the fourth quarter, that'd be very helpful. And thirdly, were there any ramp costs in Natgasoline's EBITDA in the third quarter numbers? For the pricing environment, is that the kind of right run rate for Natgasoline or were there hampering factors on that $18 million of EBITDA? Thank you.
Nassef Sawiris: So, first, I'll start with the question I want to answer, which is the guidance on the fourth quarter. We’re not going to give numerical guidance six weeks before the quarter ends. But what we can say is that we entered the fourth quarter with a very strong visibility on our sales volumes. We have very little tons to sell until year-end to achieve what we think will be a good quarter. So, on the Natgasoline issue, you have to remember that in methanol, 85% of our production, including BioMCN is contracted with long-term clients. So, a lot of these contracts are one-month trailing. So, even a current drop in one month does not reflect until the following month because most of these contracts are one month after the formula price is established or the benchmark price is established. So, again, the pricing environment has come down a bit in the last few weeks as a result of erratic drop in oil. We think that this is overdone. There is very robust demand. We always hear the same story from the buyers about MTO in China and Asia, about MTO profitability and all that. Yet MTO plants continue to run at reasonable utilization and additional MTO plants are earmarked for commissioning. So, that side of the demand on methanol, we have good visibility also on methanol for Q4.
Hassan Badrawi : And, Nassef, I will just add that - just in addition to what the description that Nassef just gave in the market that on the Natgasoline level, it is sure that during the quarter as we reported in our press release the asset utilization rate was around 70%. So that captures the plant going through it ramp-up phase, but is not indicated. By the end of the quarter, we are already above the nameplate capacity. So the run rate will be much higher. The pricing also has improved at Q4 versus Q3 and generally - so, definitely this quarter does not yet reflect the run rate potential for Natgasoline.
Nassef Sawiris: The last question I will answer which is on Iran. What we feel right now is that Iran continues to export. They're putting tons on the market for December pricing. There is also an element of exports to the neighbors through trucks not a lot. But what we see now is that capacities have not come down, but it is going to become - we don't want to speculate, but there is becoming a bit more difficult for shipping, for finance and transactions. One clear sign on the India tender yesterday, they wanted to tighten the screws so that reexported products from Iran that go to China cannot be reexported and rebranded as different country of origin. So they specifically made cash against documents, payments and no LC so that a lot of people are starting to understand some of the loopholes that exist in the system. But the current pricing environment reflects Iran producing and exporting 4 million tons of approximately urea and an equal amount of tons on methanol.
Operator: [Operator Instructions] Your next question comes from the line of [indiscernible]. Please ask your question.
Unidentified Analyst: So my first question, I didn't quite catch it, what was your leverage target for year-end 2019?
Hassan Badrawi : Around 2.5 times net debt to EBITDA.
Unidentified Analyst: And then just on the commentary around pursuing an investment grade rating, have you spoken with the rating agencies? And what was their commentary on what needs to happen in order for you to migrate to investment grade?
Nassef Sawiris: So the first issue that obviously we had accomplished was that the plans - the end of the big CapEx cycle the planned starting operation and they see the cash flows from the operating plants which you will see from both IFCo and Natgasoline and all that. So that milestone I think is behind us. And then they would want to see the free cash flow conversion going into debt reduction. And so we benefit from two things: gross debt and net debt reduction as a result of the free cash flow, as well as the rising EBITDA that improves our metrics as a result of higher volumes and the current pricing environment. So we are big. We are constructive but you have to remember that the rating agencies just rated us less than 6 months ago, so this is not an overnight event to get back to the investment grade. But we are in constant touch and committed to a highly disciplined financial approach.
Unidentified Analyst: And then just last one is on the overall debt reduction, how are you thinking about that? Is there any particular slog of debt that you have identified in terms of paying first?
Nassef Sawiris: We have quite a lot of flexibility. We have a revolver that is not fully utilized, but it still has room, so that the first free cash flow which will be in the first quarter, you will see it reflected under revolver at year-end coming down because that’s the easiest tool we have and gives us that flexibility and this was designed from the beginning that a portion of the refinanced debt that we did before the summer was in the form of bonds, and a portion was in a banking facility and revolvers. So, the revolvers take the first priority because it's - for ease of execution at no cost.
Hassan Badrawi : Those are the benefits of further interest rate step down as we pass certain thresholds in our overall - covenant leverage calculation. So, based on - as we get closer to the 2.5, this is also a material reduction in our cost of debt on these facilities.
Nassef Sawiris: And the interest expense in general.
Operator: Your next question comes from the line Emrys Komen. Please ask your question.
Emrys Komen: This is Emrys Komen from Kempen Co. standing in for Henk Veerman in his absence. Thank you for taking my questions. I have a couple on leverage structure. So, firstly, you guide for 2.5 times net debt EBITDA in 2019. What kind of explicit assumptions behind this figure? We estimate 2.5 times net debt EBITDA with an EBITDA of $1.3 billion in the next year. Is this a number we should bear in mind if the current market circumstances remain stable?
Hassan Badrawi : We use our forecast on pricing because pricing is not up to us on the consultant's view of 2019 pricing. But consultants have not - are below current prices whereas what we see is - or what we forecast is that quite a rebound past December in pricing even beyond current prices. So, on the pricing environment, we rely on the consultants with a view on that. We don't take our own view on pricing. So the target reflects what the consult - the average of the consultants reflects on pricing. And in that scenario absent, that then they become - they are proven to be right or wrong, that will have an impact on that. But that’s our base case on pricing assumptions.
Emrys Komen: And just a follow-up on that. So, you mentioned the share buybacks and dividends coming from these 2x times net debt - 2.5x net debt to EBITDA. Should we assume that this is what management regards as the optimal leverage in the base case scenario?
Hassan Badrawi : I think 2x to 2.5x and 2x through the cycles is a fair assumption. And that also includes our assumption of all the volumes that are going to come out from the newly constructed facilities. You are going to see also we announced very smart minimal CapEx and this is going to be a trend going forward. So, for example, we’re adding 130,000 tons before next summer of methanol production in our Beaumont facility with a total CapEx of $10 million.
Operator: Your next question comes from the line of [Joe Meyers]. Please ask your question.
Unidentified Analyst: I was just going to ask about whether there's an impact on the ethanol business from the sort of proposed tariff discussion. I'm not sure whether that’s actually been applied yet between the U.S. and China on the retaliatory tariff. It doesn't look like the prices is impacted and you’ve never mentioned it explicitly, but I just wanted to just check off on that.
Nassef Sawiris: So the product is very fungible where it goes. People constantly can redirect Trinidadian volumes or Middle Eastern volumes to a country that - to China and replace those customers with American product that goes into their end markets. Europe has almost a 7 million ton deficit. So there's a lot of arbitrage that will not make that have any impact. It's a global market. I'm just having a tit for tat that is between U.S. and China does not change the pricing in material.
Operator: [Operator Instructions] Your next question comes from the line of [Andrew Cretin]. Please ask your question.
Unidentified Analyst: I have two questions. The first one is in relation to benchmark pricing versus realized pricing. So throughout Q3 it looked like pricing on a benchmark basis came up sort of across the board, but it doesn't feel like this really flowed through into your realized pricing. So if you can provide maybe a little bit more clarity of any lagging impact or anything else, which is sort of leading to that disparity? And the second question is around the Indian tender which had quite a large amount of supply. And clearly the equity markets panicked a little bit at across a number of stocks. So I'd like to have a little bit more clarity on how you, I guess, look at the 3 million ton supply, this is the tight market, you know you’ve seen, and if it can mean anything leading for the Q4 and Q1 next year in terms of oversupply in the market? Thanks.
Hassan Badrawi : I think first of all you have to take the 3 million ton number with a grain of salt because a lot of these offers were based on getting the supply from the same producer. So there is a lot a lot of duplication. We know from our side that we will probably end up selling around 100,000 tons out of Ajdabiya in Egypt. And however, almost 300,000 or 400,000 tons of traders quoted the same 100,000 tons, so there's a lot of duplication in that. In addition to that, the window allowed for shipment was completely different than their typical tender, they extended it by an extra two or three weeks. So pro rata, you’re going into a tender before mid-November, but you're still allowing shipments in the 7th of January. This has never been the case before. So obviously, you get even production into January which is not yet committed or marketed with a lot of producers. So you will get volumes for a lot of people that haven't sold the first week of January and that also added, so a combination of multiple accounting of the same volumes and the longer duration. Your other question was - benchmark, and realize, I mean, when you look at the trajectory of pricing throughout Q3, July, you came off from practically no demand, big discounts for the Summerfield program in the U.S. but then the market started to pick up late in August and September. So there is a timing effect. October prices are significantly higher than even those in September and through Q4 you're going to see higher realized prices and a lot of also variance between pricing ex-factory and pricing that is delivered to customers. So that also is sometimes changes the final number, but all in all starting from October till December price variances have been quite predictable and small.
Operator: Your next question comes from the line of Faisal Azmeh. Please ask your question.
Faisal Azmeh: This is Faisal Azmeh from Goldman Sachs. So firstly, congratulations on the ramp up of [indiscernible] and thank you for taking my questions. So three questions on my end; first would be expansion requiring a shutdown next year, and if so for how long? And then on IFCo, you mentioned that the permits will allow you to achieve higher operating rates approximately I think 118% to 120% next year. Is this one for the ammonia mine or is it for other mine as well probably on your GAAP hedges other than EFCO what kind of hedges do you have in place for [indiscernible]. Thank you.
Nassef Sawiris: Sure. So first of all, the BioMCN project will not require a shutdown and should happen by summer this year. So it’s an addition and I mean we don’t want to give up what we're doing. But we're introducing a booster product to upgrade the quantity that we can refine there. So, this became a no-brainer for us. I mean, the project has less than a year of payback. The question on the permitting, we - there are two positions to the permits; one is the upstream, and one is the downstream. We are getting amendments to the permit to allow us to go up to 120% on urea of nameplate, and 120% of ammonia on nameplate. We are already achieving on some days 118% of urea. So, the permits cover also the upstream and the downstream. Did I answer all your questions? Do you have another question?
Faisal Azmeh: Yes. I had a third question on the hedges. Is that natural gas hedges for OCI N.V. as well?
Nassef Sawiris: So, again, so we have this 50% overall collar but we have opportunistically bought - for example, for Beaumont, I think we acquired the gas up to 80 some percent, did February, March. So, within the collar, we do some selective forward buying.
Operator: Thank you. There's no further question at this time. Please continue.
Nassef Sawiris: Thank you very much for your time and for joining us and looking forward to our next - for the year-end result. Have a nice day, ladies and gentlemen.